Operator: Good afternoon. And welcome to PennyMac Financial Services, Inc. Fourth Quarter 2024 Earnings Call. Additional earnings materials, including presentation slides that will be referred to in this call, are available on PennyMac Financial’s website at pfsi.pennymac.com. Before we begin, let me remind you that this call may contain forward-looking statements that are subject to certain risks identified on Slide 2 of the earnings presentation that could cause the company’s actual results to differ materially, as well as non-GAAP measures that have been reconciled that are GAAP equivalent in the earnings materials. Now, I’d like to introduce David Spector, PennyMac Financial’s Chairman and Chief Executive Officer; and Dan Perotti, PennyMac Financial’s Chief Financial Officer. You may begin.
David Spector: Thank you, Operator. Good afternoon and thank you to everyone for participating in our fourth quarter earnings call. For the fourth quarter, PFSI reported net income of $104 million or diluted earnings per share of $1.95 for an annualized return on equity of 11%. Excluding the impact of fair value changes, PFSI produced an annualized operating ROE of 16%, driven by continued strength in our Servicing business and a solid contribution from our Production segment, despite higher mortgage rates. In total, loan originations and acquisitions were $36 billion in unpaid principal balance, up 13% from the prior quarter and driving the continued growth of our Servicing portfolio to $666 billion in unpaid principal balance with 2.6 million customers. Before I continue on, I would like to talk about a change that we are reporting our financial results and reporting segments. We took the opportunity to address our financial reporting for the evolution of our businesses and the way we manage them. As a result, we have modified our segment definition. The principal change we made was to remove the corporate overhead allocations from our business segments to better evaluate the performance of our operating businesses. We also determined that our Investment Management business was not an operational segment and as such the related results are now consolidated into Corporate and Other items. Our two operating segments are now Production and Servicing, and we have included non-segment activities and activities related to our Investment Management business in Corporate and Other. Prior period amounts have been recast to conform these periods presentation to the current period presentation and I encourage investors to view the Excel supplement posted on pfsi.pennymac.com for more detailed information. Now back to our results. The fourth quarter marked the end of a very successful year for PFSI as you can see on Slide 4 of our earnings presentation. We highlighted some of our key achievements in 2024, which demonstrates the earnings power of our balanced business model and the significant gains in operating leverage we achieved. In the Production segment total acquisition and origination volumes were $116 billion in UPB up 17% from 2023 driven by a nearly 70% increase in originations from the direct lending channels. Production segment revenues were up 47% from 2023 and despite the large mixed shift expenses remain contained up only 13% from 2023. Production segment pre-tax income in 2024 was $311 million up from $116 million in 2023 including a significantly higher contribution in the third quarter when rates declined. Highlighting our ability to rapidly address recapture opportunities and increased demand for refinances when mortgage rates declined. Our large Servicing business provides ongoing revenue and cash flow contributions in this higher rate environment and continues to provide the foundation for our strong financial performance. The unpaid principal balance of our Servicing portfolio increased 10% from the prior year end as Production volumes more than offset runoff from prepayments. Servicing segment operating revenues were $1.5 billion, a 19% increase from the prior year driven primarily by increased Servicing fees and earnings on custodial balances due to growth in the owned portfolio. Operating expenses increased by only 3% demonstrating the ability of our Servicing workflows and technology to scale efficiently with our growth while also providing our Servicing associates with the tools they need to best serve our customers. In 2024, Servicing segment operating pre-tax income was $643 million or 10.1 basis points of average Servicing portfolio UPB, up from $535 million from 9.3 basis points in 2023. In total, we delivered an operating return on equity of 17%. GAAP ROE was 9%. Growth in book value per share was 6% and we also increased our dividend to $0.30 per quarter, an increase of 50% from the previous dividend. These strong yearly results demonstrate our commitment to operational excellence and our focus on delivering sustainable earnings through varying interest rate cycles by leveraging our balanced business model. Turning to the origination market, current third-party estimates for total originations in 2025 averaged $2 trillion, reflecting growth in overall volume. Though mortgage rates are back up into the 7% range, we believe ongoing volatility in rates will present opportunities in the origination market from time-to-time. As you can see on Slide 6, our balanced and diversified business model with leadership positions in both Production and Servicing enables strong financial performance and a foundation for continued growth as an industry-leading mortgage company across different interest rate environments. We achieved a mid-teens operating ROE in quarters characterized by higher mortgage rates and a 20% operating ROE in the third quarter when mortgage rates declined. Because we retain the Servicing rights on our loan production and have been one of the largest producer of mortgage loans in recent periods, we are uniquely positioned with a large and growing portfolio of borrowers who recently entered into mortgages at higher rates and who stand to benefit from a refinance in the future when interest rates decline. On Slide 7 of our earnings presentation, you can see that as of year-end $220 billion in unpaid principal balance, or approximately one-third of the loans in our portfolio, had a note rate above 5%. Approximately $100 billion were government loans and approximately $120 billion were conventional and other loans. The potential opportunity for earnings growth is highlighted on this slide, as well as our historic -- our historical refinance recapture rates, which have improved significantly from five years ago as a result of our ongoing technology enhancements and process improvements. We expect these recapture rates to continue improving given our multiyear investments, combined with the increased investment in our brand as use of targeted marketing strategies. As I briefly discussed, our large and growing Servicing portfolio is a key asset, anchoring our core operational results in this higher interest rate environment and driving low-cost leads to our Consumer Direct division. Throughout our history, we have been focused on deploying new and emerging technologies to drive efficiencies and lower costs, as evidenced by the chart on the right side of Slide 8, which highlights a decline in our per-loan Servicing expenses of more than 35% since 2019. We have a platform in the mortgage industry that I believe is unmatched. And further, our best-in-class management team remains committed to unlocking additional efficiencies through continued investments in workflow and technologies. It is for all of these reasons that I am confident in our ability to continue driving strong financial performance in this higher rate environment, bolstered by increases in the origination market in periods when mortgage rates declined. 2025 will be an exciting year for us. I will now turn it over to Dan, who will review the drivers of PFSI’s fourth quarter financial performance.
Dan Perotti: Thank you, David. PFSI reported net income of $104 million in the fourth quarter or $1.95 in earnings per share, for an annualized ROE of 11%. These results included $68 million of fair value declines on MSRs, net of hedges and costs, and the impact of these items on diluted earnings per share was negative $0.93. PFSI’s Board of Directors declared a fourth quarter common share dividend of $0.30 per share. Beginning with our Production segment, pre-tax income was $78 million, down from $129 million in the prior quarter. Total acquisition and origination volumes were $36 billion in unpaid principal balance, up 13% from the prior quarter, as many loans originally locked in the third quarter were funded in the fourth quarter. Total lock volumes were $36 billion in UPB, down 7% from the prior quarter due to higher mortgage rates. Of total acquisition and origination volumes, $32 billion was for PFSI’s own account and $4 billion was fee-based fulfillment activity for PMT. PennyMac maintained its dominant position in correspondent lending in the fourth quarter, with total acquisitions of $28 billion, up from $26 billion in the prior quarter. Correspondent channel margins in the fourth quarter were 27 basis points, down from 33 basis points in the prior quarter. However, the revenue contribution was essentially unchanged as increased volumes offset the lower margins. Increased volume in the quarter was primarily due to PMT retaining 19% of total conventional correspondent production in the fourth quarter, a decline from 42% in the third quarter. In the first quarter of 2025, we expect PMT to retain approximately 15% to 25% of total conventional correspondent production, consistent with the fourth quarter. Of note, pursuant to a renewed mortgage banking agreement with PMT, beginning in the third quarter of 2025, all correspondent loans will initially be acquired by PFSI. However, PMT will retain the right to purchase up to 100% of non-government correspondent loan production. In Broker Direct, we continue to see strong trends and continued growth in market share as we position PennyMac as a strong alternative to channel leaders. Originations in the channel were up 22% as many loans locked in the third quarter were funded in the fourth, while lock volume was down 17% given the reversal in mortgage rates. The number of brokers approved to do business with us at year end was over 4,600, up 21% from the end of last year and we expect this number to continue growing as top brokers increasingly look for strength and diversification in their business partners. Broker channel margins were up slightly from the prior quarter, near normalized levels. Consumer Direct was similar with originations up 40% from the third quarter and lock volumes down 30%. Margins in the channel were up given a higher mix of refinanced loans in the third quarter at lower margins. Activity in January was down due to higher mortgage rates and typical seasonality. Production expenses, net of loan origination expense, increased 12% from the prior quarter due to higher funded volumes and increased capacity in the direct lending channels. It is our preference to hold a level of excess origination capacity in the current market environment given our belief that volatility in interest and mortgage rates will provide pockets of opportunity from time-to-time and that we will need to be quick to react. Turning to Servicing, the Servicing segment recorded pre-tax income of $87 million. Excluding valuation-related changes, pre-tax income was $168 million or 10.3 basis points of average servicing portfolio UPB. Loan servicing fees were up from the prior quarter primarily due to growth in PFSI’s owned portfolio and earnings on custodial balances and deposits and other income decreased due to lower short-term rates. Custodial funds managed for PFSI’s own portfolio averaged $7.3 billion in the fourth quarter, up from $6.9 billion in the third quarter primarily due to increased prepayments. Realization of MSR cash flows decreased $10 million from the prior quarter due to lower prepayment expectations as a result of higher mortgage rates. Operating expenses were down $2 million from the prior quarter at $81 million or 5 basis points of average servicing portfolio UPB. The fair value of PFSI’s MSR increased by $540 million driven by higher market interest rates. Pension losses and costs were $608 million, more than offsetting MSR fair value gains. As David mentioned, results from our Investment Management business are now included within Corporate and Other. Corporate and Other items contributed a pre-tax loss of $36 million compared to $39 million in the prior quarter. PFSI recorded a provision for tax expense of $25 million, resulting in an effective tax rate of 19.2%. The reduction in the effective tax rate from the prior quarter was primarily due to a decline in the provision rate from 26.85% to 26.7% and the resulting repricing of expected taxes on deferred income. We ended the quarter with $3.3 billion of total liquidity, which includes cash and amounts available to draw on facilities where we have collateral pledged. We’ll now open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Doug Hunter -- Harter with UBS. Please go ahead.
Doug Harter: Go into a little bit more about the hedge performance this quarter, kind of what drove the larger hedge loss. And I know in past quarters, you had talked about changing the hedge strategy costs of it and just kind of give us an update on the strategy there?
Dan Perotti: Sure. So, and sorry, you cut out a little bit, Doug. So, I’m going to answer the questions that I heard. And if there’s some piece that I didn’t answer, just let me know afterwards. In terms of the performance of the hedge in the fourth quarter, actually, the overall hedge performed more or less in line with how we expected in terms of our insulation from changes in market rates. One change that we did have during the quarter is that as interest rates increased significantly, when rates were at lower levels, we had discussed, we were attempting to hedge in sort of an 80% to 90% area as we moved up to higher rates, where again, in sort of near-term rallies, there’s not as much of an impact to Production. We moved that hedge ratio back towards 90% to 100% as rates increased and that’s where we started the quarter and how we’re currently -- what we’re currently targeting today. What we did see impact the net hedge results during the quarter that departed from that 90% to 100% hedge ratio. We did see hedge costs since we do utilize options and the curve was still flatly inverted for a lot of the or for part of the quarter. And then we did see some excess prepayments. We mentioned the prepayment speeds were a bit higher in the fourth quarter due to the impact of rates being lower in the third quarter. Although that was baked into our model, the speeds were a bit in excess of what we had projected, and for us that flows through into our changes in fair value and so that had a little bit of a negative or a bit of a negative impact in the quarter as well. And so those components together account for most of the negative contribution on the hedge during the quarter. As we’re going into the first quarter, we’ve seen the hedge perform fairly well thus far. As I mentioned, we’re hedging more in the 90% to 100% range currently, given where we’re sitting in the interest rate environment and the amount of production that we would see in just a -- in a near-term rally or in a close rally where we’re not rallying very significantly.
Doug Harter: Great. Appreciate that, Dan.
Operator: Your next question comes from the line of Michael Kaye with Wells Fargo. Please go ahead.
Michael Kaye: A quick question on the 2025 ROE guidance. It looks like you downgraded it from prior. What kind of rate environment do you contemplate in that revised ROE guidance? Is that current rates on the low end or is it some sort of improvement? Could you just flesh that out a little bit?
Dan Perotti: Yeah. That’s really more or less assuming a rate environment that’s pretty similar to where we are today. So, we aren’t really forecasting a significant decline in interest rates given the -- with that mid-teens to high-teens operating ROE guidance. And so, given what we’re seeing and the Production environment that we think is likely in that case and especially the refinance environment that’s likely in that case, that, as you mentioned, sort of brings down our operating ROE expectations from what we had communicated a quarter ago. To the extent that we do see a meaningful rally or pockets of meaningful rallies from here, that would allow those operating ROEs to get back up into the 20s like we saw in Q3 or higher if there’s a more sustained rally. But that operating ROE projection was really more contemplating the rates at levels that we’re currently at.
Michael Kaye: Okay. A question on what’s the impact to the PennyMac, if the GSEs exit conservatorship and just wondering how PennyMac is preparing for that potential. And maybe you could talk about how the benefit of having PMT benefits PFSI in that scenario?
David Spector: Well, you kind of answered the question, Michael, so thank you. But let me kind of take it from the top here. How are you doing?
Michael Kaye: Good. How are you?
David Spector: Good. Good. So, look, we from day one have managed this company to a range of outcomes. And I think, in a period of time when the GSEs were 90% plus of the market, we are a leading mortgage -- residential mortgage lender and producer of mortgages and servicer. And if the GSEs begin to retrace that, which we’re starting to see parts of it, we’re going to continue to operate better than anyone in the industry. I think that we, as you pointed out, we’re uniquely positioned with PMT to have an investment vehicle to invest in credit related investments. And I think, in Q4, we had two securitizations of investor loan and second home loans that execute better in the private markets than they do delivering to the GSEs. We closed our first deal for 2025 today. We’re on track to do a deal a month, which represents about 50% of that Production with the remaining Production going to home loan buyers like insurance companies. What’s important there is you can begin to see how we think about distribution as the GSE footprint gets reduced. And look, guarantee fees, if you listen to some people, they say they’re going to go up, with the new administration. But if guarantee fees were to go up, the ability to access all outlets in the market is a trademark of my career in this company. And so we’ll continue to find home loan investors. We’ll continue to do securitizations in PMT. And PMT is going to thrive in that opportunity. PMT is expanding the -- expanding the loans that they’re looking to do securitizations. There’s opportunities in jumbo. There’s opportunities less so in closed-end seconds. But I will tell you that I think that PMT is going to -- PMT had a great quarter in the fourth quarter. It’s gone up to a really nice start in the first quarter. And that’s something that we’re going to leverage if we see the GSE retracement take place. In addition, what’s interesting about the Q4 results and we’re seeing it, in January it’s strong, is the amount of jumbo volume we’re doing. And in the fourth quarter, we did almost a $1 billion of jumbo production across all three channels. We are on pace to do more than that in the first quarter. And there were -- as I mentioned, we’re looking to do a securitization in PMT in the -- before -- in the first half of this year. But again, we’re accessing the markets there as well -- the whole markets there as well. And then, on the Consumer Direct side, we had a really nice quarter in terms of closed-end second production in the fourth quarter. And that kind of, again, plays into our ability to distribute loans away from the agency. And we’re building a great operation to access pools of capital to be able to put on trades, to be able to settle trades. And so, as we see, if we see in a marketplace where loans move away from the agencies, we’re going to continue to be the leader in the industry in being able to maximize the economics. And that really -- when you look at -- when I look at our organizations between PFSI and PMT, that’s the differentiator, is our expertise to be able to price and execute and find best execution for our customers, our correspondents and our brokers.
Michael Kaye: Okay. Thank you.
Operator: Your next question comes from the line of Terry Ma with Barclays. Please go ahead.
Terry Ma: Hey. Thank you. Good evening. I just had a follow-up on the operating ROE range for 2025 of mid- to high-teens. I guess your exit rate for this year is kind of already in the mid-teens. I’m just curious, what do you need to see to get to the high-teens? Do you need to see many rate rallies or do you think you can continue to kind of grind higher on the ROE scale, even if you kind of -- even rates stay where they are right now?
Dan Perotti: I think, yeah. Thanks, Terry. That’s a great question. So, as we see, or if we see rates continue to stay at this high level, we do expect to continue to drift upwards in terms of operating ROE. I think the key aspect there is the -- our efficiencies that we’ve gained over time in the Servicing -- in the Servicing space and Servicing portfolio. So, we have a page in the deck that shows our decrease in operating expenses over time with respect to our Servicing portfolio that’s gone down by 30% over the past few years since 2019. We expect to be able to continue to drive that down on a per unit basis, both as a function of scale, as well as continuing to make our operations more efficient. And so, on that basis, we would generally expect our -- even if we stay in the current environment, our operating ROE to drift upwards. And so, the mid-to-high -- the mid-to-high-teens, I think, to your point, depending on what you consider mid and high, we would generally expect to be drifting upwards toward the high-teens over the year if we stay up in this rate level, if we stay up in this rate environment where we’re gaining further efficiencies as we go through the year.
David Spector: Terry, a couple of things about 2024 that’s really, I think highlights the power of the company is that you look at the Q3 results when we had that brief rally, and you can see how quickly the ROE can climb to 20% and even higher if that -- if the rally’s protracted. And then, similarly, to speak about the operating scale, historically, when we’ve had rallies, you recognize the lock when it’s -- you recognize the gain in the lock when you take it, but the expenses, a lot of the expenses hit when you close the loan. And so, in Q4, we were closing out loans from the pipeline and we still had a relatively very good ROE. And so, I think that there’s -- it speaks to the leverage that we have in our Production channels. And I think as you continue to see growth in the non-agency products combined with the continued efficiencies that our Production teammates continue to isolate and perfect, that it’s -- a lot of it is in our control and then you take the piece that’s not in control and that’s the market. And we know one thing for sure. Rates go up and rates come down. And so, our ability to be able to seize on that opportunity is vitally important. And that’s one of the reasons why we’ve brought in some excess capacity in our Consumer Direct channel. And so, we have about additional 100 LOs at the moment that are really focused on, at the moment, working for our customers who want cash out refinances or closed-end seconds or are looking to buy new homes. But likewise, as rates decline, we can pivot those LOs to focus on rate and term refis. And historically, when markets move, originators go out and they try to find additional capacity. But we’re in a position, because of the strength of the organization, to be able to maintain that capacity and be able to do so while having products that they can offer our customer base.
Terry Ma: Got it. That’s very helpful color. And then, just to follow up, any color you can provide on what you’re seeing with respect to just delinquencies in your portfolio, 60-plus-day delinquency rate increased sequentially, but it also -- the year-over-year increase also accelerated in the quarter? Thank you.
Operator: Excuse me, ladies and gentlemen. Please stand by as it appears that the presenter has got disconnected. One moment, please. Excuse me, ladies and gentlemen. Please continue to stand by. Thank you.
David Spector: Hello?
Operator: Sir has reconnected. You may proceed.
David Spector: Thank you. Sorry about that, folks. We got disconnected here. And I believe the question was about delinquencies?
Terry Ma: Yes. It was.
David Spector: Okay. Sorry about that. So, look, I think that, delinquencies continue to stay at low levels. We’re seeing, as you can see on Slide 26, that they have gone up a little bit. Much of that is seasonality and you saw that a little bit at the end of 2023, where we saw delinquency numbers go up so slightly. And we expect those to return to more normalized levels in Q1 and Q2 as tax refunds come in and people get themselves current. I will tell you that, we are very well positioned in the event that delinquency rates do show a spike and a lot of that speaks to our expertise in Servicing delinquent loans. We -- there are a lot of forbearance programs out by FHA, VA, USDA and the two GSEs. There are programs offered by -- there’s a program offered by the VA to buy delinquent modified loans called the VASP program that we talked about in the past. And last quarter, we sold $800 million of unpaid principal balance of delinquent -- of modified once-delinquent VA loans back to the VA that had a negative Servicing mark of a little over $11 million and we were well over 50% of the participants in that program. And that just speaks to not only our expertise as a servicer, but also our Servicing technology and the ability to quickly adopt and adapt to any program that’s out in the marketplace. And so, we -- I’m looking at this number on a monthly basis, mindful of what’s happened in the past. But generally speaking, I take comfort in the fact that we’re in a marketplace right now where over 50% of the loans are still below 5%. You still have housing constraints in the marketplace, demand is still up. And I generally think that, we’re still in a good market for borrowers who want or need to sell their home. But having said that in managing the balanced business model and managing to a range of outcomes, we -- what we do on Production, we also do on Servicing. So, we’re looking at all the possible outcomes and make sure that we’re ready to react to anything that we see take place in the market.
Operator: And your next question comes from the line of Crispin Love with Piper Sandler. Please go ahead.
Crispin Love: Thank you. Good afternoon. I appreciate you taking my questions. First, just on origination and channels, most of your origination channels were down in the quarter, which makes sense, but I saw that conventional correspondent locks were actually up nicely in the quarter. Can you discuss how you’re able to do that in this type of environment and what drove that?
Dan Perotti: Sure. So I mean, one thing to note about correspondent generally is that it typically lags a bit from the -- our correspondent locks will typically lag a bit from the environment that we see presently since the correspondent locks that we take are generally after the or a large portion of them is after the correspondent themselves has locked the loan and closed the loan. So take that 60 days to 90 days from whatever the interest rate was. And so as we moved into the fourth quarter, we saw additional a lot of the volume from rates being lower in the third quarter sort of flow through into the fourth quarter in terms of locks in correspondent in our direct channels, those have been locked really in the third quarter. And so that drove some of that increased lock activity in the fourth quarter. In addition to that, as David mentioned, we’ve also been pretty active in terms of our sourcing of investor loans, which fall into that conventional correspondent or a lot of that falls into that conventional correspondent camp. And so that has also been a place where we have been increasingly active and help drive some of that lock share in conventional correspondent in the fourth quarter.
Crispin Love: Great. Thank you. I appreciate that. And then just one last one, can you just discuss your outlook for the level of mortgage rates and then what makes you think that you could see volatility in the near to intermediate terms that could present opportunities for originations and refi, as you discussed or is it more just a possibility of rates rallying and being ready, like you’ve added capacity, that we may see something similar to the third quarter?
David Spector: Look, right now we’re in kind of unprecedented territory in terms of volatility. I mean, just the movement, just the daily movements that you see in rates is pretty extreme and from what I’ve seen throughout my career. And so, it really kind of validates why it’s vitally important to manage through a range of outcomes. And so, if rates were to go higher, having our Servicing portfolio is vitally important. Again, being a leading correspondent aggregator to continue to buy loans during periods of higher rates feeds the flywheel that we have in our Consumer Direct channel. And likewise, regardless of where rates go, people are always going to be buying homes and they’re always -- there’s always going to be a market for loan originations. And so when in markets like that being a well-capitalized enterprise with a great reputation only benefits us. And if rates were to go higher, you’re going to continue to see consolidation take place in the industry. Likewise, in periods of time when rates do decline, the ability to offer refinances and be able to seize on the opportunity, really is beneficial to us as a servicer, but also as an originator and that’s what you saw in the third quarter. And so you see more consolidation taking place in the industry, that as an originator that benefits those who are left originating, because that just takes out capacity, which typically leads to higher margins in periods when rates do decline. And so by and large, I think, to your point, it’s just -- it’s really having a view of how you’re going to operate in different rate environments and being prepared to do so in a very nimble fashion, which is how this organization is set up to operate.
Operator: And your next question comes from the line of Mark DeVries with Deutsche Bank. Please go ahead.
Mark DeVries: Yeah. Thanks. I wanted to drill down a little bit more on kind of what gives you confidence and continuing to drive down that average cost of service to get you to that higher teens ROE. The rate of change has obviously been flowing in recent years. Are you expecting or still generating new ways to drive efficiency through your proprietary Servicing platform or just benefiting from getting a lot more scale off that without having to add costs? Just kind of what gives you the confidence there?
Dan Perotti: It’s a little bit of both, right? So as we’re continuing to grow the Servicing portfolio, we’re continuing to get economies of scale. If you look at the overall operating expenses in the Servicing -- in our Servicing segment have been roughly flat over the last few quarters. And so as we just continue to add Servicing, we’re getting the benefits of scale there. In addition to that, there are aspects of our Servicing operation that we believe can continue where we can continue to have process improvements and automation that can further drive down our unit costs. In particular, things related to delinquent loans, we believe that there’s opportunity for a significant or for continued savings or additional savings with respect to automation and process improvements where, that haven’t been fully addressed in our development plan thus far, our process enhancement plan thus far. And so looking at both of those aspects, that gives us confidence that we can continue to drive down that per unit cost even as we go forward. And certainly you can see that although our -- although we’ve had slower progress in more recent periods, there still is continued progress in terms of ratcheting down those costs.
David Spector: Well, yeah, look, I think that, there -- that group is hyper-focused on really driving down the costs. And having our technology to do so just allows us to implement it faster, quicker and smarter. I think that I know that we are going to be introducing a chatbot in the call center and Servicing as well as the call center for Consumer Direct for that matter in the not too distant future. We’re looking to continue to enhance workflows and to move initiatives offshore. And so I think that, you’re going to continue to see that cost come down. And look, yes, of course, some of it has to do with just the increased growing portfolio and the scale that comes with it. But there’s -- but we have not -- we wouldn’t be where we are today if it weren’t for the technology and the team that we have in place and it’s going to continue to decline. I know that.
Mark DeVries: Okay. Great. That’s really helpful. Dan, just one more question for you. Are there any accounting issues that we need to think about? As you make that transition, you mentioned in 3Q to at least initially retaining all of the conventional originations?
Dan Perotti: No accounting issues per se would be if you look at it just slightly -- a slight increase in inventory compared to other points in time or the proceeding quarters. As we move forward, if all else were being equal, although, those loans are only expected to stay the loans that would be going to PMT, assuming PMT retains the same amount of conventional loans that it otherwise would have been will really only sit on PFSI books for one day to two days on average. So really, the impact would probably be dominated by the fluctuations -- other fluctuations in the market and so forth. So I don’t -- we don’t expect any significant accounting changes. We still, as the contract stipulates, will charge a fulfillment fee, PFSI will charge a fulfillment fee to PMT for the loans that it -- for the loans that will be passed through to PMT or through PFSI to PMT and they’re the correspondent loans that they will elect to elect to receive. And they’re the gain on sales structure for PMT should remain the same, because the economic terms at which they’ll be acquiring the loans will be substantially the same as to what they were receiving previously. So yeah, don’t expect any meaningful accounting differences or changes versus what you see today.
Mark DeVries: Okay. Got it. Thank you.
Operator: And your next question comes from the line of Ryan Shelley with Bank of America. Please go ahead.
Ryan Shelley: Hey, guys. Thanks for taking the question. I have two quick ones. So first, on revenue margin, was the decrease in the quarter just attributed to makeshift or were you guys seeing anything else? And then I’ll just drop the second one and let you guys answer. Just how are you thinking about the unsecured maturity coming up this October? Thank you.
Dan Perotti: Sure. So, yeah, with the -- with respect to the revenue margin in the Production channel, we did see a lot of the change in the overall revenue margin is due, as you mentioned, to the mix shift. You can see that the overall correspondent locks remained pretty similar quarter-over-quarter if you include the PMT or especially if you’re looking at just the Production before PMT, there’s a significant shift towards correspondent given the change in overall percentage that PMT retained during the quarter. And so that was the major driver. The other -- and while the locks in the direct channels with higher margins declined. The other driver is that there was also a reduction if you look at the correspondent line in terms of the margin on the correspondent loans. So that was a combination both of competitiveness in the channel in the fourth quarter, as well as really the mix within correspondent, where a greater proportion of the locks that were going in were conventional, which tends to be a little bit lower margin than the government loans.
David Spector: But the other thing about, I would say, Q4 is that, we, of course, December is usually typically a slower month all the way around. The mix shift was a big component, obviously, quarter-over-quarter. But as we go -- as we look at January, we’re really seeing things back to a more normalized level in the three divisions. And January has been a really exciting month for us. I like, we -- as you can see in the earnings presentation, that we had great share growth in Broker Direct and we’re continuing to see some really good headwinds in broker. In correspondent, we’re seeing, there was some irrational pricing earlier, in much of the first six months to nine months of 2024, that we began to see that kind of relieves itself a little bit. And we’re continuing to see that as we start the quarter here, my sense is we’re getting some share benefit there. And then, on the Consumer Direct channel, obviously having the closed-end seconds, we’re seeing more Production there as well. And so it’s -- I think, it’s -- for the month of January, it’s been an active month here. Unlike December, where we just felt -- it just felt to me much more as though we were in holiday mode for most of the month.
Dan Perotti: With respect to the, the second question relating to the 2025 maturity, so we do have an unsecured debt maturity coming up later in the year. That is part of our capital planning that we’re looking at as we go through the year in 2025, both to address that 2025 maturity later in the year, as well as to sort of move forward on our objective that we’ve discussed previously to move our non-funding debt mix more toward unsecured, a bit away from the funding secured by MSR. We are looking to enter into transactions in the unsecured market through 2025, trying to find what the best opportunities for that would be in order to achieve both of those objectives. But we do expect to be in the market in 2025 in the unsecured market to both address the maturity, as well as increase our overall proportion of unsecured debt.
Ryan Shelley: Thank you very much, guys. Very helpful.
Operator: And your next question comes from the line of Derek Sommers with Jefferies. Please go ahead.
Derek Sommers: Good afternoon, everyone. Based on your approved broker count in the presentation, what percentage of the total broker market do you think you’ve penetrated so far?
David Spector: I would say somewhere between 25% and 30%...
Derek Sommers: Okay. Great. Thank you.
David Spector: And the nice thing is that this -- the velocity of growth is accelerating as we’re seeing -- as we’re getting share growth and more people are seeing our performance and our pricing is kind of building upon itself. So, I expect growth to continue at a very good pace in 2025. I think that, we have -- we’ve had -- we had good share growth for the year of 2024, but I believe we’ll have even better share growth in 2025. As clearly brokers are understanding they need an alternative to the top two dots. And so we -- and given our performance to-date in terms of our product mix and our ability to adapt to changing markets and build a reputation in the broker community, it’s building upon itself and the momentum is really nice to see.
Derek Sommers: Got it. Thank you. And then just to pivot to escrow income, how should we think about kind of balancing portfolio growth as a tailwind versus the potential for declining short-term rates looking through 2025?
Dan Perotti: Sure. So, as -- I mean, as you mentioned, a lot of it is dependent on what happens exactly with short-term rates. So I think we’re still expecting or the forward curve or futures market is implying limited cuts -- additional cuts here in 2025, I think still one to two cuts. So not necessarily expecting a lot of movement on the rate that would sort of the short-term rates which would drive the placement fee levels on those balances that we receive. In terms of the portfolio, still expecting pretty significant growth in the portfolio as we move through 2020 -- as we move through 2025, very similar in terms of the amount that we’re adding to the portfolio each quarter, especially if prepayment speeds, especially prepayment speeds remain contained. And so I think, balancing those effects where we’re not expecting a lot of short-term reduction, but are expecting continued growth to the portfolios, we’d expect that overall dollar number in total from the run rate, if you will, that we have in Q4 to continue to increase overall through the year.
Derek Sommers: Thanks for taking my question.
Operator: And your next question comes from the line of Bose George with KBW. Please go ahead.
Bose George: Hey, guys. Good afternoon. Actually, I wanted to ask on the direct-to-consumer side, your volume, I assume, is still largely recapture. Are there strategies you’re thinking about to go into market to consumers outside of your Servicing portfolio?
David Spector: Absolutely. There’s -- it’s a huge part of our strategic plan this year to focus on our brand and over the next quarter, you’re going to see a series of announcements from us that reflect that commitment. It’s a lot of -- it’s a reflection of lot of time and work that Doug and the team have put in place to really start focusing on the brand. Similarly, there’s marketing direct strategies to our portfolio on purchase transactions. And then, finally, I think, I’m generally pleased with just name -- what I’m seeing in terms of the name recognition of PennyMac and that’s just going to grow as the brand strategy gets implemented. And so, I think that, as we sit here at higher rates, it’s imperative for us to really focusing on the new customer acquisition part of our Consumer Direct channel. And Doug and the team are really hyper-focused on continuing to drive leads in from that part of our Consumer Direct channel.
Bose George: Thank you. And your next question comes from the line of Eric Hagen with BTIG. Please go ahead.
Eric Hagen: Hey. Thanks. Good afternoon and hope all you guys are okay following the fires in your area.
David Spector: Thank you.
Bose George: I know that you don’t typically give guidance around origination volume, but do you feel like the lower bound for your originations on a go forward basis will be, call it, at least $30 billion per quarter. And from the perspective of the correspondent sellers, I mean, how competitive is the alternative for them just being the opportunity to deliver loans into the cash window?
David Spector: Yeah. I don’t -- I think as it pertains to correspondence, the cash window ebbs and flows. And so Fannie and Freddie are important business partners of ours. And I think they’re going to be increasingly distracted as the new administration begins to really look at alternatives for Fannie and Freddie. Do they come out of conservatorship? Nobody knows, but at a minimum, there’s going to be a lot of focus on making sure that they’re -- that if they do come out, that they’re ready to go. And I think it’s going to be pretty quiet from my perspective in terms of new programs coming out of the agencies. And similarly, I just don’t see the window -- from time-to-time there’ll be a competitor, but I see that as one alternative. The other thing, the window becomes less of an issue in periods of time of higher interest rates because sellers don’t want to retain Servicing because they don’t hedge that Servicing. And so when rates were zero, there was a much better economic thesis to holding on the Servicing. When rates -- when mortgage rates are at 7%, yeah, that’s not so much the case. I think in terms of the competitive landscape and correspondent, look, we’ve got great competitors out there. They’re good people. But at the end of the day, we are the leading correspondent aggregator. We’re -- Abbie and Alex and the team are going to continue to grow market share there and that’s something -- and they’re going to do so profitably. And that’s something that they’re very much focused on. And in markets like this, correspondent sellers want to make sure they’re continuing to maintain a very strong relationship with us for when periods of time when rates do decline, they need to have an aggregator who can clear warehouse lines quickly and can buy loans quickly. So that is something that is, I think, really going to be the case for correspondent.
Operator: Yeah. And that is all the time we have for questions. I’d like to turn it back to David Spector for closing remarks.
David Spector: Okay. Well, listen, I want to thank everyone for the call. I’m really sorry about the interruption. That’s not on our end. We’re great with technology. But if you have any questions or any thought, please reach out to our Investor Relations team. They’re always available. I’ll always make myself available and thank you all for the great questions and the robust discussion. Bye-bye.
Operator: Thank you all for joining us this afternoon. We encourage investors with additional questions to contact our Investor Relations team by email or by phone. Thank you.